Company Representatives: David Seaburg - Chief Executive Officer Richard Hague - President, Chief Operating Officer Jake Patterson - Interim Chief Financial Officer Rich Haerle - Vice President of Investor Relations
Operator: Good day and welcome to the PolarityTE Fiscal Year 2020 Earnings Call. Today's conference is being recorded.  At this time, I would like to turn the conference over to Rich Haerle. Please go ahead.
Rich Haerle: Thank you, operator. Good morning and thank you for joining PolarityTE's call to discuss fourth quarter and full year 2020 results. I am Rich Haerle, Vice President of Investor Relations. On the call today are members of the executive team that includes David Seaburg, CEO; Richard Hague, President and COO; and Jake Patterson, Interim CFO. Before we begin, I would like to remind everyone that today's discussion will include statements about the company's future expectations, plans and prospects that constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. We caution that these forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those indicated. These forward-looking statements are based on our current expectations and may differ materially from actual results due to a variety of factors that are more fully detailed under the caption Risk Factors and our filings with the SEC, including our annual report on Form 10-K for the year-ended December 31, 2020 to be filed with the SEC today.  Any forward-looking statements made on this call speak only as of today's date, Tuesday, March 30, 2021, and we disclaim any obligation to update such statements to reflect events or circumstances that occur after today's call, as except as required by law.  I'd like to highlight that the call is being recorded. We are making it available to investors and the media via webcast and a replay will be available on our website in the Investor Relations section shortly following the conclusion of the call. Additionally, it is the property of PolarityTE and any redistribution, retransmission or rebroadcast of the call in any form without PolarityTE's expressed written consent is strictly prohibited. I’d now like to turn the call over to David Seaburg. 
David Seaburg: Thank you, Rich, and welcome everyone. I'm pleased to report that we had another record quarter in terms of revenue, but more importantly we made significant progress in the preparation for our IND submission. Today I will begin by highlighting some of the achievements we made over the last year and then to return the call over to Richard Hague, who will provide an update on the regulatory development plan for SkinTE, followed by a financial update from Jake Patterson.  Now I'd like to highlight some of these notable achievements. First, last April we announced plans to pursue BLA for SkinTE. Since we submitted the [Inaudible] received feedback from the FDA in October. With that feedback from the IND, we believe it will provide a framework for achieving the successes with BLA. We [Inaudible] in the second half of 2021.  In 2020 [inaudible] non-essential legacy expenses. We commenced COVID-19 testing, which helped generate additional revenue into the operating expenses and we’ve right sized the company with respect to headcount, which included a reduction to our commercial footprint; here are a couple of highlights.  Our 2020 operating cash burn was approximately 33% lower compared to 2019, while total revenues were up 79% year-over-year. Even more impressive is that the operating cash burn in Q4 of 2020 was 70% lower than the same period in the prior year.  Total operating costs and expenses in 2020 were 47% lower than in 2019, driven largely by a 46% reduction in personnel and stock based compensation was down 77% in 2020 versus 2019. We believe the organization is now operating at a greater level of efficiency and much of this was achieved amid a global pandemic and created substantial challenges and uncertainties for the organization which we drove through.  Third, we believe the company is now better positioned after having strengthened our balance sheet through recent financings. With the current cash in our balance sheet, we expect our business activities will be funded into the third quarter of 2022.  Fourth, we completed enrollment in a randomized controlled diabetic foot trial comparing SkinTE plus standard of care to standard of care alone. We look forward to sharing these results via presentation and press release at SAWC Spring in May of this year.  And fifth, we have made incredible progress to protect our intellectual property. The company's total number of allowed and granted utility patents is currently ten, eight internationally and two in the U.S.  Now let’s turn to slide six for a review our fourth quarter 2020 revenue versus third quarter. Total revenues were approximately $3.59 million up 8%. SkinTE revenues were approximately $1.20 million, up 4% and contract services revenue were approximately $2.39 million up 9%. This includes revenues from COVID-19 testing, which is approximately $1.86 million in Q4.  Now I'd like to touch on our full year 2020 results versus 2019, which truly demonstrates the transformation this company has undergone over the past year. In 2020 total revenues were approximately $10.13 million, up 79%. SkinTE revenues were approximately $3.73 million up 59% and contract service revenues were approximately $6.40 million up 94%. Again, this includes revenues from COVID-19 testing, which was approximately $4.32 million since we began testing in late May of last year.  While we are extremely proud of our fourth quarter and 2020 results, it is important to note that the FDA stated policy on enforcement discretion for 361 HCTP ends in May. If enforcement discretion is not extended or the FDA does not make other accommodations for manufacturers of 361 products who are transitioning to a 351 product, we may need to need to see cease marketing SkinTE.  In addition, we recently received information from our largest COVID-19 testing customer, a New York based nursing home operator that New York is allowing on-site COVID-19 testing for nursing home staff, which we expect will reduce our testing revenues. We are exploring needs to add new services for this customer, such as processing tests for their residence instead of their staff and working to identify new customers, but we do expect fluctuations in our 2021 COVID-19 testing revenue due to a shifting and dynamic landscape.  I'd like to make one thing very clear. Regardless of whether SkinTE remains in the market after the conclusion of the enforcement discretion, we would not expect to see a major impact to our P&L, because we believe we can eliminate costs that correspond to the loss revenue. As evidenced by the progress we've made over the past year in transitioning this business, we are prepared to pivot quickly and effectively in response to this potential change, including continuing to manage our costs.  Accordingly our focus remains on achieving the key regulatory milestones necessary to obtain a BLA for SkinTE, which we believe will maximize the long term value of this asset.  Now I'd like to turn the call over to Richard Hague, who will provide an update on our regulatory development plan for SkinTE and other operational updates. Richard. 
Richard Hague: Thank you, David, and good morning everyone. I am pleased to share the progress we've made towards our goal of submitting an IND for SkinTE in the second half of this year. As I described in our last earnings call, we received our initial pre-IND feedback from FDA in Q4. Since then, we have had other interactions with the agency that have given us additional clarity and confidence around our ongoing IND enabling activities.  These activities remain specifically focused on three areas; CMC or Chemistry Manufacturing and Controls, pre-clinical and clinical. With regard to CMC, our team is making excellent progress towards characterizing SkinTE, which over the next few months should allow us to validate and implement a matrix of product release assays to meet FDA requirements. In parallel, we are making similarly strong progress on our transition to current good manufacturing practices or CGMP.  On the pre-clinical front, we plan to conduct certain additional pre-clinical work, including a GLP toxicology study. However, based on recent feedback we received from the FDA, we do not expect the completion of this work to delay the timing of our IND submission or the initiation of our pivotal trials.  As discussed on our Q3 call, data from our recently completed DFU, RCT will be included as part of this SkinTE IND safety package. I should note that we currently have 29 patients enrolled in our VLU RCT and plan to stop enrolment after we reached 30 patients. If the final VLU data package is complete, in time we will include it in our IND submission as well. We believe that stopping the VLU study is the right decision, as it will allow us to reduce costs and better align with our strategy to pursue full thickness DFUs as our lead indication.  With regards to clinical, we plan to move forward with the trial design that we initially proposed with the agency, which is focused on full thickness DFUs ranging in size from 2 centimeter squared to 10 centimeters square, but penetrate to deep structures such as capsule, tendon or bone. These correspond to Wagner grades 2 and 4 and University of Texas grades 2 and 3.  In January we had a very valuable clinical advisory board meeting, which included a number of highly experienced in-care physicians representing multiple specialties. Through the excellent feedback we received, we believe the final trial design to be submitted to the IND will be well received by the FDA and by clinicians who will eventually participate in the trial. We are taking steps now to ensure that we can begin enrolling patients soon after an IND approval is in hand.  At this point I would like to highlight the additional steps we're taking to maximize the full potential of SkinTE over the next several quarters. Shortly after the IND is open, we expect to submit a secondly DFU trial protocol to FDA, which will focus on full thickness DFUs greater than 10 centimeters square. Our goal is to get this study up and running as soon as it is approved and to use the data from the two studies to pursue a broad BLA approval from hard to heal DFUs previously described.  Stage three and four pressure injuries remain an important priority for us and is the next indication we plan to pursue. We are currently analyzing internal and external patient data to define the parameters of an appropriate trail design. Our plan is to submit a supplemental or additional IND to this indication later this year or early in 2022. We plan to take similar steps to follow on with an acute wound indication. We believe that the work we're doing now and preparation for the DFU IND will be the foundation for accelerating the approval process of these other indications.  We're very encouraged by what our team has been able to accomplish in the five months since our last earnings call, and we remain confident in our ability to execute on our strategy to pursue multiple indications for SkinTE. We continue to be inspired by the outstanding real world results that positions inner patients experience in extremely challenging wound types. We remain steadfast in our belief that SkinTE can be a game changes in this underserved multi-billion dollar market.  Now I'd like to turn the call over to Jake Patterson for a financial update. Jake. 
Jake Patterson : Thank you, Richard, and good morning everyone. As David mentioned, for the fourth quarter of 2020 we reported approximately $3.59 million in total revenues, which includes revenues from SkinTE, which we refer to as products in our 10-K and revenues from the sale of contract research services, which we refer to as services in the 10-K. Revenue from products during the quarter were $1.2 million and revenues from services were $2.39 million.  On previous calls we discussed our target to lower based operation cash burn to less than $2 million per month on average. I'm happy to report that we achieved this target in the fourth quarter.  Cash used in operating activities in the fourth quarter of 2020 was approximately $5.58 million, which included $0.76 million of offering and re-pricing in cost or $4.82 million excluding offering and repricing cost. We have approximate $1.6 million per month on average, which is 70% lower than the $5.33 million monthly average in the fourth quarter of 2019 and 29% lower than the $2.25 million monthly average in the third quarter of 2020.  Additionally for the full year ending December 31, 2020 cash used in operations was $37.75 million, which is 33% lower than cash used from operations here in 2019. Consistent with our DLA strategy we discussed in previous press releases, we have continued to work aggressively to reduce our base operation cash burn and expect it will remain on average below $2 million per month excluding costs associated with clinical trials and DLA related activities.  We finished the fourth quarter in 2020 with approximately $25.5 million of cash and cash equivalents on our balance sheet. While our future cash projections may change, including the additional capital gains from a direct investment and exercise of the warrants in January of this year, we believe current cash and cash equivalents will be sufficient to fund our activities through the end of 2021 and into the third quarter of 2022.  I'd like to turn the call back over to David Seaburg for some concluding remarks. David.
David Seaburg : Thanks Jack. As a team we’ve taken extraordinary steps to position this company for the future by implementing transformational changes over the past year. We continue to make progress in a regulatory plan for SkinTE and are eager to reach important regulatory milestones, so that we can begin to generate clinical data under an IND and eventually obtain a DLA to help more patients and providers realized the benefit of SkinTE.  We’ve reduced monthly cash burn in Q4 by 70% versus the prior year. We now have 10 granted or allowed patents worldwide. We have seen SkinTE applied in over 1,100 clinical cases and reported record service and product revenues in 2020. We successfully enrolled a large randomized controlled trial in DFUs with data expected in May and we have shored-up our balance sheet, such that we have adequate cash to fund operations into the third quarter of 2022.  It's truly remarkable the progress we've made, particularly given the ongoing global pandemic and our recent decision to pursue a BLA. I believe the company is in a strong position and I'm incredibly proud of the entire team for getting us here.  Now, I’d like to open the call up for Q&A. 
Operator: Thank you, Sir. [Operator Instructions] We will now take our first question. Please go ahead caller. Your line is open. 
Kristen Kluska: Hi! Good morning everybody. This is Kristen Kluska from Cantor Fitzgerald. Thanks for taking my questions.  The first one I had was SAWC next month, could you please comment on which metrics we might see data from outside of wound closure? Will it look similar to the presentation we saw last year with the first 50 patients and then are you also planning to conduct any further work around cost and time savings? 
David Seaburg: Sure. Richard, do you want to take this question? 
Richard Hague : Yeah, sure. Hi Kristen! So yes, the data presentation will be similar to what we presented last year. This SAWC presentation will be focused on top line data and there will be some additional data that we’ll report after SAWC and additional analysis is done. 
Kristen Kluska: Got it, thank you. And then for the VLU trial, I understand that you're hoping to enroll one more patient here, but wondering once you have all that data collected if this is something you would look to share the data from future medical conference. 
Richard Hague : Yes, we do plan to do that. The reason we chose 30 as a stopping point is so we could have an even distribution of 15 patients in the control arm and 15 in the treatment arm and we certainly do plan to present that and hopefully get that data published down the road. 
Kristen Kluska: Great, thank you. And then with your cash guidance here into the third quarter of 2022, could you talk about which trials or how you thought about incorporating these trials that you laid out today in this guidance, specifically in terms of number of patients and it sounds like from your report earlier that you'll be looking to run these in kind of a tight sequence formation. 
Richard Hague : Yes, so I'm sorry. Could you just clarify your question regarding the financial side? 
Kristen Kluska: Yes, so because you provided guidance for us today into the third quarter of 2022, just wondering how you’ve thought about incorporating your future trials into this guidance you provided today. 
Richard Hague : Yes, okay thank you. Yes so the budget that we put in place incorporates the trials that we’ve describe. The DFU trial, the first trial as we said we hope to be able to – as soon as the IND is open to get that enrolled, a couple months later. So possibly by the end of this year or early into next year and the larger DFU wound trial to follow on shortly after that. So that is built into the budget, as well as the pressure injury study as well. So that cash guidance incorporates those studies. 
Kristen Kluska: Great, thanks. And last question here is how important is this data that you're going to share SAWC you think to help with enrollment timelines for this trial. And then what have you kind of seen across this space with COVID-19 in terms of whether these procedures, you know whether SkinTE or another product or so being done. Has there been kind of an overhang lifted after you know people are getting their vaccines and hospitalizations going down in certain geographies. 
Richard Hague : Yes, we’re certainly excited about presenting the current RCT data. We believe that will be valuable for not only for investors to respect and appreciate the value of SkinTE and its patient types, but also as we said, many of the sites that we’ve worked with on that study would most likely participate in our new study. So we're excited about the carryover from that.  With regards to the impact of COVID, certainly you know we've seen that like everyone has, but you know we've seen more and more up-tick of the product recently and we don't believe by the time that our studies kick off that the impact will be significant at all. As we describe, we're going to be treating some very challenging deep wounds. These are not elective procedures, these are critical procedure, so we expect the enrollment there to be solid and to move forward as we expect.
Kristen Kluska: Great! Thank you. 
Richard Hague : Thank you, Kristen. 
Operator: [Operator Instructions] We will now take our next question. Please go ahead caller. Your line is open. 
Swayampakula Ramakanth: Good morning David and Richard. This is RK from H.C. Wainwright. A couple of quick questions.
David Seaburg: Hey RK!
Swayampakula Ramakanth: So, we are literally one month away from the enforcement period or enforcement, potential enforcement. What has been your dialogues with the authorities? 
David Seaburg: Rich, did you want to touch on that? 
Richard Hague : Sure. So, I mean our dialogue has mainly been focused on the IND application process. The guidance has been very – I think very consistent from the agency with regards to enforcement discretion in terms of their interest in wanting to implement that. However, as we know last year, they decided to expand enforcement discretion a couple months before it was to end, and so it's hard to speculate right now exactly how they're going to handle this. Everyone knows that they are you know very, very busy with COVID and whether or not they’d be in a position to extend that or not remains to be seen.  And then I think the other question is exactly how they will handle certain products that are transitioning to a 351 and are taking the appropriate steps to partner with the agency and how they'll look at those types of products. So right now it's very much a speculation as to how things are going to unfold, but as David described earlier on the call, we're certainly prepared to pivot and handle whatever decisions come our way. 
David Seaburg: Right, I think that is the key RK. We mentioned that you know regardless of what the outcome looks like you know we are prepared, right, and I think that you know historically when you look at the execution of you know this current management team, we have responded I think very quickly, I think properly to different scenarios so we’ve been – you know that have been put in front of us. This is not going to be any different. So we are prepared; we’ve got a plan in place and you know if need be, we’ll execute on that.  But you know the important part of it is that we have eliminated or have you know looked into and have determined the cost associated with you know different aspects of this and we’re prepared to make it, so that it is not an impact to our P&L and I think that's the important part. The important take away is that we believe it's not going to have an impact on our P&L if we need to go in that direction. 
Swayampakula Ramakanth: Okay. So if the IND is passed in the second half of ’21 as you are projecting, can you help me understand like how long it would take in general terms by the time you have everything that you need to file the BLA? 
Richard Hague : Sure. So a lot of it obviously depends on the timing of the IND getting opened, but once it's opened and we start enrolment, our historical perspective guides us that it will be probably about 20 to 24 months to enroll these studies based on what we've seen previously with our current DFU RCT.  So with the fact that we plan to enroll our for study a couple of months after the IND is open and then the follow on study a couple of months after that, you know you could expect that roughly between 24 and 30 months we should be in a position to have those data complete, and then of course you have to factor in the lock down of that data and the analysis of that data before we file. But I think that’s probably a good guide post, is that 24 to 30 months period once enrolment is initiated. 
Swayampakula Ramakanth: Perfect! Thank you for that Richard. And then the last question David is on COVID-19 testing revenues. You put some remarks out there on New York State testing. In general, how do you see these revenues shape up, especially with different states having different mandates, I mean like mass mandates and whatnot. How should we think about that revenue line going forward? 
David Seaburg : Yeah, I would – thanks for asking that. Look, at the end of the day we are clear about you know a customer that we have in you know New York based, in the nursing home. It was pretty clear with us that they are going to see a shift in the way testing is being done. That’s going to have a near term impact on us, there's no question. You know that will have an impact most likely in Q2. But we are working to explore ways to add new services for this customer. You know we are also looking to identify new customers and we are working diligently on that.  So our point is we do expect fluctuations, you know given the shifting dynamic of this landscape RK. I mean there's no question that testing was something that we identified early on as would have hick-ups potentially through 2021 as the vaccines evolve. So we are seeing that head-on and you know we're adapting to it as best we can, but yes, we do expect given this recent feedback from our New York based nursing home operator that near term we're going to see a little bit of a slowdown in testing. 
Swayampakula Ramakanth: Okay, thank you. Thank you both for taking my questions. 
David Seaburg : Of course. Thank you RK. 
Operator: [Operator Instructions]. There appears to be no further questions at this time. This concludes today's call. Thank you for your participation. You may now disconnect.